Operator: Greetings and welcome to the TETRA Technologies IncorporatedThird Quarter Financial Results 2007 Conference Call. At this time, allparticipants are in a listen-only mode. A brief question-and-answer sessionwill follow the formal presentation (Operator Instructions). As a reminder,this conference is being recorded. It is now my pleasure to introduce your host, Mr. GeoffHertel, Chief Executive Officer. Thank you. Mr. Hertel, you may begin.
Geoff Hertel: Welcome to the TETRA Technologies third quarter 2007earnings conference call. Joe Abel, our CFO and Stu Brightman, our ChiefOperating Officer, are here in attendance this morning and will be able to helpanswer any of your questions. Joe's going to give a short review of our thirdquarter financial results. I'll follow with a short presentation followed byyour questions. I must first remind that this conference call may containstatements that are or may be deemed to be forward-looking statements. Thesestatements are based on certain assumptions and analyses made by TETRA and arebased on a number of factors. The statements are subject to a number of risksand uncertainties, many of which are beyond the control of the company. You'recautioned that any such statements are not guarantees of future performance andthat the actual results may differ materially from those projected in theformal statements. Whether you're the Management of TETRA, a shareholder or acasual observer, one fact's obvious. This company is very complex, if notconfusing. When we report quarterly results, as we did today, there are boundto be a number of questions regarding what is the company trying to do andwhere is it going. I'm going to try to answer these questions by addressing twomain issues today. One, what were and what are TETRA's strategic goals for 2007and how are we performing against these goals, and secondly, what problems didwe encounter this year that led to our current reduction in profitability? Itgoes without saying that we had financial goals this year that we're notapproaching. However, we also had seven strategic goals that we set forthe company for the year, and those, I'm going to go through individually. First, we were looking toward the international expansion,as I'm sure everyone else in the oil service industry has been. With theescalating worldwide growth in oil and gas activity, TETRA's been aggressivelyattempting to expand its international activities for a number of years. In particular, we expected international growth in testing,fluids and Compressco in 2007. We're also anticipating setting the groundworkfor well abandonment services expansion outside of the U.S. To date, ourefforts to expand further internationally this year have been very successful.This is especially true in testing and Compressco and to a lesser extent, influids and well abandonment services. Some of this growth should begin totranslate into income as early as the fourth quarter. This is particularly intesting. Secondly, additional Maritech property acquisitions. Thepurchase of Gulf of Mexico properties by Maritech has a dual purpose withinTETRA. First, it helps to base load our well abandonment services business.This will be even more important sometime in the future, once the hurricanework begins to decline, and no, I'm not saying it's declining now, because I'msure I'll get a question there. Secondly, Maritech produces profits by actively exploitingproperties that it acquires. The last packages of perspective, excuse me, ofproperties purchased by Maritech were pre Rita and Katrina. The inventory ofexploitable operations on these older purchases has dwindled during the last 29months. Going into 2007, we determined that it was strategicallyimportant for Maritech to acquire a new inventory of properties no later thanmid 2008 and hopefully earlier. This would be in an attempt to keep from havinga major decline in production. Maritech has recently entered into nonbondingletters of intent to acquire two packages of properties. We hope to close on one or both of these prior to year-end.Obviously if we do that, we will have performed on this strategic goal of ours.Three, reduce our complexity. As a publicly traded $300 million to $400million-revenue company, we needed to retain all our operations to attaincritical mass size. However, to date, our current size retaining non-core assetsis not an imperative. The sale of these type of assets has a number ofbenefits. First, they make us less complex and confusing to perspectiveshareholders. Secondly, they generate cash that we can use in our corebusinesses, and finally, they allow management to focus all of their energieson core businesses. We began a review process relating to non-critical assetsearlier this year. We've recently entered into a nonbonding LOI to sell assetsunder this strategic directive. We hope to conclude this first sale beforeyear-end. Four, position fluids for the future. We've always felt that theintegration within our fluids business was an important factor thatdifferentiated us within this market. The strategic decision in 2007 to fully integrate thisbusiness through the building of a facility in Arkansas and simultaneouslyentering into various agreements with Chemtura was an important step inpreserving our position within this industry. We believed early in 2007, and webelieve now that these investments will be returned many fold over the next fewdecades. As we've explained many times before, these decisionsnecessitated a significant reduction in profits in the fluids division in 2007.We should begin to see some profit improvement in this division in 2008. Theplant start-up is now scheduled a couple of months early, in late 2009 and thecosts are currently slightly under budget. The fifth strategic goal to expand our onshore fluidsservices business. In order to grow our fluids business, we determined that weshould expand our onshore fluids services component. Profits from this areashould help to offset the temporary loss of fluids profits from our fullintegration process. During 2006 and 2007, we aggressively expanded our onshoreofferings. Hopefully in 2008, we'll see a more meaningful earnings impact fromthis diversification. The sixth strategic goal was to unlock shareholder valueby creating an MLP with Compressco Since we are at least in technicalregistration; I'm unable to address any particulars regarding Compressco. However, it is our assumption that if Compressco had been anMLP during the last few years, we would have already unlocked shareholder valuefor TETRA holders Seven, attempt to collect all insurance receivables from the2005 storms by year-end 2007. Although, we’ve collected a significant portionof our insurance receivables from Rita and Katrina, we still have a largeamount of monies that are owed to us. We could certainly use these monies forgrowth CapEx. During the last six months, our reported earnings have begunto be effected by these unresolved insurance claims. It's possible that thenonpayment of these claims could continue into 2008 and beyond. Therefore, itis important for TETRA to determine whether any of these unresolved claims willactually become issues. We anticipate having meetings with our insurancesyndicate this quarter. Hopefully we will be assured of collection of all of ourclaims. In the event that we cannot obtain assurances of payment, we willpursue other courses of action. It is our intent to try and force this issueregarding payment so that any negative accounting effects from the actions thatwe take occurs in 2007 and not in future years. During 2007, we've workedsuccessfully on all seven of the aforementioned strategic goals. We believethese actions will generate value for our shareholders for years to come. Now, I'm going to address major issues that have createdwhat I'll call operational earnings and shortfalls this year, obviously fromaccounting perspective, the term operationals a term that you have to be alittle careful with. But I think we can talk about that in this meeting in maybea little different fashion. I'm not going to delve into the accounting issuesrelated to insurance receivable recovery or old fixed price contracts, as Ibelieve, we've discussed these things many times and I believe the pressrelease goes into that in a lot of length. There are four basic issues that have hurt us in 2007.First, we were not quick enough to see that our business model for downplatform work was flawed. Also, when we figured it out, we were slow to makeneeded changes and we were forced to improve management over site in this area. I believe the correct changes have now essentially beenmade. While it's very difficult for you to ferret out the actual operationalresults from the noise for well abandonment services during the third quarter,it actually was a great improvement, and I think if you take the items that weenumerated and the dollar amount of that and add it back, I think you can seethat. Secondly, we thought that growing our on-shore andinternational fluids business areas would combine with flat Gulf of Mexicodemand to help offset a large portion of the fluids earnings decline caused byour self imposed high cost inventory situation in 2007. Unfortunately, two of our assumptions proved incorrect.First, our on-shore profits were less than anticipated, as flooding in thesecond and third quarters slowed that business area materially. Secondly, weexpected the Gulf of Mexico demand for fluids products to be static, with aslightly reduced shelf demand offset by increased deep-water demand. While the deep-water market did improve, the shelf markethas been very weak, especially during the third quarter. While we're seeingsome improvement in the rig count in the fourth quarter, it is not improving tothe levels that we initially anticipated. Three, the start-up of work under anumber of our international contracts was later than anticipated. This was especially true in testing and fluids. While ourtesting work has finally begun, we are still awaiting the finalization of amajor fluids contract award. The international demand for Compressco units hasbeen greater than expected, but the actual instructing of the associatedservice contracts has taken longer than we first thought. Finally, the last earnings shortfall in 2007 that I'm goingto talk about involved the timing of production from a number of Maritechplatforms. Some of this shortfall involved construction delays, while othersoccurred because some of the associated wells were actually better thanexpected and they took more time to complete. In any event, all of this production is now on-stream. Butthe later timing of this production did hurt our results in 2007 in theaggregate. I'll now open up this conference call for your questions.
Operator: (Operator Instructions) Our first question comes from JimRollyson from Raymond James. Please state your question.
Jim Rollyson - Raymond James: Good morning Geoff.
Geoff Hertel: Good morning.
Jim Rollyson - Raymond James: First question, you talked about your business model in wellabandonment decommissioning. You started off with kind of more of the one-stopshop approach, making sure you had all the assets to take on the whole businessmodel and then kind of now you've seen it more still piece mauling the way itused to be. Does that leave you with any of the different segments thatyou've acquired or specific business lines that you've gotten into under yourold approach that today on an individual basis you wish you didn't have?
Geoff Hertel: Well, I'm going to address that and then I'm going to letsStu do that. The only thing that bothered me in that area, if we were owningall of the business pieces that we had nine months ago, would have been thelarge vessels and fortunately for us, we at least a number of those vessels,all of those vessels that are not working we have been able to turn back andtherefore, I'm very happy with what we have remaining, but I'm going to let Stuaddress that question for you.
Stu Brightman: Yeah, I think if you look at the assets we have todaybetween the barges and the diving assets, we're very happy with all of them andthey fit into the current future model. And as Geoff said, we've shed the thirdparty assets and we've got what we need right now.
Jim Rollyson - Raymond James: Perfect and, Geoff, it looks like if you backed out theamount of write-down related, kind of unusual stuff from WA&D this quarter,the $13 million, your margins are close to 23% in the quarter. Is that aboutright?
Geoff Hertel: I haven't run them, but I think they are over 20, so, yeah,yes.
Jim Rollyson - Raymond James: Okay. It also seems like with all the kind of financialwrite-down stuff going on this quarter and maybe you're trying to bringinsurance to a head before the end of the year, you're trying to get rid of allthe, let's call it noise going into what you think will be a lot better year in2008. Am I reading that accurately?
Geoff Hertel: Well, obviously there are things from an accountingperspective that we can't manipulate just in the quarters that we want to. Theycome as they come. However, I think a lot of the issues that you've seen thisyear and that could hurt us on a go-forward basis would be involved with theinsurance situation and there we do have some control over that from theperspective of when we address or bright line some of these issues and we aregoing to bright line them this quarter and bring them to a head. At least that's our intent. And consequently, yes, we oughtto be able to eliminate those at least to a great degree from future issues,meaning future beyond 2007. Some of these other factors really are kind ofself-correcting and those would relate to the items that you looked at in thethird quarter. There were some issues related to our diver that needed tobe resolved. There were issues related to AROs that we addressed in thequarter. So, to the degree that we can get things cleaned up, I believe was theterm somebody used the other day, we will do that. But do recognize that it'snot like the old days. You can't just set up reserves against something you have anissue with. You've got to make sure that there are actual things that happen inthe quarters to force this. And obviously, the insurance is the biggest one andwe can force that issue. That's the long answer to your question.
Jim Rollyson - Raymond James: Right, going back to insurance, you're trying to force theissue by end of the year. What's the possible, I guess, the negative side, ifthings don't go as you're expecting or hope to how much more kind ofwrite-downs, magnitude wise could you expect from a negative outcome there?
Geoff Hertel: Well, I'm not going to speculate on that other than what weput in our press release about a month ago. We gave you the receivables thatare on the books, which were … Joe?
Joe Abel: $28 million.
Geoff Hertel: $28 million. We're not suggesting that we're not going toget paid those. We are just suggesting that if we have to do what weexperience, what we did in the second quarter, where we had a $7.8 millionwrite-off to operating earnings because we had a letter from the insurer thathad some type of issue with a payment, didn't mean we weren't going toultimately get paid, it meant that they had an issue with it and correctly theaccounting profession needs to take that off of your balance sheet. We're not really wanting to live with that on a go-forwardbasis. I don't think you want to see 2008 earnings affected by insurancereceivables from 2005. So, we will do what's necessary, hopefully collect thesemoney’s in the next couple of months, but in the event we don't, we're going totry to make sure that they don't affect us from at least accounting earningsposition on a go-forward basis.
Jim Rollyson - Raymond James: Thanks. And last question, property acquisitions you hope toclose, can you maybe characterize amount of you get to pay cash out of pocketfor these, or is it more traditional what you've seen in the past, where you'reactually pretty close to neutral between the value of the properties and yourabandonment liabilities?
Geoff Hertel: I think, what we've seen, and I think what we'll probablysee in the future is a change. Originally go back five or six years ago. Peoplewere putting together packages of old dead properties. You were able to go inand buy these properties for really a negative basis. They ended paying you. Today, there are a lot of smaller companies that areactually getting out of the gulf and that is a huge benefit for us becausethere are a lot of properties there that are fairly attractive. The negative is that because they have properties that goall the way from very new to the very old, you tend to have a positive value,so I would be very surprised that anything that we buy in the way of packageson a go-forward basis, except in rare occasions, we'll be paying cash to buythe properties. And that would be the case with both of these.
Jim Rollyson - Raymond James: Great. Thank you.
Operator: Our next question comes from James West with LehmanBrothers. Please state your question.
James West - Lehman Brothers: Hey, good morning, guys. Geoff, I had a question, a questionon the decommissioning business. I wanted to follow up on that. I get to thesame kind of profit levels that I think Jim mentioned of 23% on gross profitsif we back out the noise of the charges from the quarter. And my question is, how did the margin tracked throughoutthe quarter, I guess my understanding that you exited the second quarter stillhaving operational difficulties. Those got better. At this point, as you exitthe third quarter, were the margins above the kind of average level for thequarter?
Geoff Hertel: Do you want to take that?
Joe Abel: Yeah. I think as we went through the third quarter and youlook at the jobs that were done with our own assets on a current basis, we sawimproving margins during the third quarter. When you add back the adjustmentswe noted, we certainly had much better margins we've been running and we feelgood about that. That kind of cuts across the major pieces of that WA&Dbusiness.
James West - Lehman Brothers: Okay. And then, revenue for that business has been flat forthree quarters straight here. I know you have downsized the amount of activityyou're willing to take on because of the issues in the second quarter. But as we look out into next year, what kind of revenuecapacity do you think this business has with the current assets that are inplace?
Geoff Hertel: Well, first of all, let me make sure that we're still bothon the same page, and that is that we have internally said that we are notgoing to expand this area until we, meaning the three people you're talking to,are comfortable that we're getting margins out of that area that are moretypical of what we expect. Now, I think at that time we told you that that was about25%. So given the numbers you're running, we're approaching that.
James West - Lehman Brothers: Right.
Geoff Hertel: Right now we have nothing in terms of expansion, at leastdomestically, that we are looking at doing until we can get up to that marginlevel that we're talking about. However, there's certainly a lot of businessstill out there in the form of down platform work, as well as standing platformwork, and one of the things that you really haven't been able to see is, as wede-bundle these projects, we do have capacity in a number of our areas. I would -- I don't know what a good number would be, but Iwould bet that there's at least 30% more capacity in our businesses and that'sduring the, the fairly good part of the year. Obviously there's some weathercapacity, but I'm not sure how much people are willing to go out in parts ofthe wintertime and do work regardless of whether we have the capacity.
James West - Lehman Brothers: Okay. Understood. That's very helpful. Geoff, I had heardfrom some of the more marine construction companies recently that there was awillingness of operators to continue doing some of this decommissioning work aswe went into the fourth quarter and actually bids out there for later in thefourth quarter. I know typically that's a very seasonally slow period. Haveyou seen the same type of trend or do you expect the same seasonality you'veseen in past years.
Geoff Hertel: I think, we're actually seeing both. We're certainly we'regoing to see the seasonality that we typically see, but there are someopportunities we're looking at that we're talking about working through thefourth quarter that we've been pleasantly surprised about. We'll certainly see the seasonality, but there are someindications, there's several jobs that will continue through the fourthquarter.
James West - Lehman Brothers: Okay. Excellent. It’s very helpful. Thanks, guys.
Operator: Our next question comes from Joe Gibney with Capital OneSouthcoast. Please state your question.
Joe Gibney - Capital One Southcoast: Good morning, guys. How are you? Just wanted to follow uprelative to the fluids side. I know in your release you indicated that,obviously, you had some weather impact in the quarter. You also mentioned somepricing impacts in the quarter as well. I kind of wanted to get some additionalcolor there. What kind pricing degradation you're seeing out there in themarket and basically on the sequential impact within fluids and how much of itwas weather, how much of it was pricing? Just trying to get some additionalcolor. Thanks.
Geoff Hertel: Well, first of all, when we normally talk about weather, ifwe have significant weather events in fluids, it normally relates to the Gulfof Mexico. And we clearly had some weather events in the Gulf this year, but wealso budget for weather events and, as I said in the press release, while thegulf was slightly worse than what we budgeted it, it was not abnormally a badyear. Where our weather hit us was in the onshore arena, particularlyTexas-Oklahoma, both in fluids, services, and in our testing business. This isnot an area that we normally budget weather downtime, and as those of you inthe Southwest know, that was an extraordinarily rare type of occurrence withthe flooding that occurred in June, July and parts of August in, all the wayfrom Mexico to Oklahoma. So that's the weather that we're talking about and it didnot impact our offshore fluids business but did impact the onshore. The pricingis a function of the reduced level of activity, at least in my opinion, on theshelf. The shelf drilling dropped precipitously in the end of thesecond quarter, into the third. I mean I don't know that I've ever seen a rigcount in two decades that's 49 or 45 or whatever we had there, in terms of theentire Gulf for a period of time. So that, that is something we hadn't budgeted for, theweakness in price, coupled with where we are with high cost inventory was thereason that we really got scalped in the quarter and what's the order ofmagnitude? It just depended on what the jobs were. There was pricingweakness, however, in the market. I wouldn't characterize it as a disaster, butit clearly was more than we had assumed, because we had assumed prices weregoing to be static.
Joe Gibney - Capital One Southcoast: Okay. And on the international expansion front, specificallyrelative to testing, you mentioned things are progressing pretty nicely there.Curious what percentage of your testing business is international and reallywhat is the differential there between what you're seeing in some of your NorthAmerican testing from a margin perspective?
Geoff Hertel: I'll answer the second part because it's the easiest toanswer. I'm unaware of any oil service business that has lesser marginsinternationally than domestically, meaning that normally because of the risksand the logistical problems and so forth, you normally have better margins andwe clearly have that in our testing business versus our domestic areas. Percentage, percentage of profits may grow to 20, 25%. Buton a revenue basis it's a little less. Stu's, pumping his hand a little higher.
Stu Brightman: Yes, I think it's still a smaller percentage of the totalrevenue, but the mix of profit coming from internationals increased, as we'vegotten some of these contracts and that will continue. It will probably benorth of 20%, but it's clearly still going to be less than domestic, but it'skicking in at about the rate we expected.
Joe Gibney - Capital One Southcoast: Okay. Joe, just one last housekeeping question relative tothe cash balance of moving down to about $1.9 million for the quarter. Justkind of curious, if you could give me an update on what CapEx was on thequarter and just kind of walk me through the sequential change in cash therefrom 2Q to 3Q.
Stu Brightman: The CapEx and acquisition activity was about $72 million forthe quarter. Debt increased just under $3 million for the quarter, so you canassume the rest was generated by cash from operating activities.
Joe Gibney - Capital One Southcoast: Okay. Thanks, guys. One last more, if I may. Just, Geoff, ifyou could comment relative to the WA&D side, any change in the MMSmentality out there in terms of more stringent requirements on thedecommissioning side?
Geoff Hertel: Not really. There's been an evolution over the last maybenine months, but not really a dramatic change. Early in the process, when youdropped 113 platforms in the history, said that four was the most that had everdropped before. The MMS gave wide latitude for companies to go out and try todetermine what it was that was going on. However, in the last nine months, they have made sure thatevery operator out there comes into the MMS on a periodic basis and goesthrough their planning cycle of where they are, what they are going to be doingduring the next quarter and you had better be doing what you had suggested youwere going to be doing. Now, does it mean that you're going to get all your damagecontrolled and out? No. It means that you have to have a schedule of what youwill be doing in the future, who's going to be doing it for you, what type ofvessels are you going to be utilizing, and you have to stick with that so thatthey are essentially keeping everybody's feet to the fire. But they are cognizant that there isn't enough equipment todo all of this simultaneously. So, they are working with the industry, butthere is a little more time pressure on the companies than maybe there was ayear ago.
Joe Gibney - Capital One Southcoast: Okay. Thanks, guys. I'll turn it back.
Operator: (Operator Instructions) Our next question comes from MikeHarrison with First Analysis. Please state your questions.
Mike Harrison - First Analysis Securities: Hi, good morning.
Geoff Hertel: Good morning.
Mike Harrison - First Analysis Securities: Geoff, you gave profit before tax guidance for the WA&Dservices business, with your Q2 earnings. Do you think those are still the numbersthat we should use for 2008, or do you think you'll need to modify those oneway or the other any time soon?
Geoff Hertel: Actually, I think in the press release we just gave you,that's the best estimate we can give you. What we said was that the numbers,which we indicated in the second quarter press release should be the ranges,should be the ranges you use in 2008 and that we should approach that range inthe fourth quarter of 2007. So if you look at the first and fourth quarter range that wegave, we should approach that number, which should mean to you we probablyaren't going to be in it, but closer to it in the fourth quarter and then bythe time they get into next year, we ought to be in a position where we'rewithin those ranges.
Mike Harrison - First Analysis Securities: Okay, and then can you walk me through your hedging activitywith these new, the new activities you have done in the quarter here, androughly what portion of your production is going to be hedged for 2008?
Geoff Hertel: Joe, do you want to give him that?
Joe Abel: Right now, we're about 57% hedged in oil, 72% hedged in gasand what happens in '08 is going to be a function of the acquisitions Geofftalked about. If they close, then we will need to reassess our hedge position.
Geoff Hertel: And that hedge was for '07.
Mike Harrison - First Analysis Securities: Right, right. Now that's fair.
Geoff Hertel: We added '08, '09 and '10 hedges in oil. We had no '10hedges previously. We added no gas hedges beyond what we've been doing. Off thetop of my head, I think we're about 60% hedged in oil for '08, as a guess, andwe're currently hedged only 7.5 million cubic feet a day for next year at about849 I believe an MCF and we are currently producing somewhere between 30 and 35or 6 million cubic feet a day of gas. So, obviously that's an area we're under-hedged, and thereason for that is when you've got 12 to 15 or 16 times BTU basis, we didn'tthink it was probably a propitious time to add hedges in gas.
Mike Harrison - First Analysis Securities: Okay, and the last question I had, I was just wondering if Icould get some details on your rational for using the successful effortsaccounting method, assuming that other similar sized companies are using fullcost accounting, and going forward, is it possible we see you switch to the Iguess if you want to call it less conservative method.
Geoff Hertel: Well, factually it is much easier to be under full cost as asmall growing oil and gas company, but the problem that we had when we firstgot into this business related to the fact that we were doing business as TETRAfor Maritech, and if you look at the rules, the accounting rules associatedwith that, what we would have had to have done under full cost it was take allthe profits of the work that we did between well abandonment and our Maritechsubsidiary, and use those profits to reduce the basis in the properties for theoil and gas group. And as long as you're continuing to buy properties, youwould be continuing to reduce your basis for decades and you would never show aprofit on that work, or wouldn't for a long period of time. We thought that wasnot plausible, and if you look at the two people that do the same kind of thingwe do, the two other companies, I believe you'll find they're also successfulefforts for the exact same reason. But we didn't have a choice.
Mike Harrison - First Analysis Securities: Okay. That makes sense. Thanks very much.
Operator: Our next question comes from Thad Vayda with StifelNicolaus. These state your question.
Thad Vayda - Stifel Nicolaus: Good morning. So, with respect to your comments about theMMS's stance or lack thereof on kind of getting this work done sooner, can yousort of give us an idea of how you view the overall size of the wellabandonment market now, and the amount of time it's going take in your view forthis to sort of be fully addressed, and then in that context, given that theone-stop shop, if you will, strategy didn't work as well as you had hoped? How are you different relative to your competitors? I meanwhat do you bring to this that gives you comfort that you can, at the end ofthe day, really be the leader in the space?
Geoff Hertel: I'm going address that in two parts. I'll address it firstand let Stu address it as well. First of all, we have most of the services thatare required, so one of the differences you're going to have versus yourcompetitors is that if they have diving needs or whatever, we can do that.There are aren't a lot of companies that have diving. If you want to do well abandonment, there may be five or sixcompetitors that can do the abandonment, we're of one of those. If you're in aposition where you need to do heavy lift on standing platforms, we're one offive or six companies there that can do that. The differentiator is that if you have any of these needs,you can essentially come to us and hopefully we will be able to source thatservice or equipment for you, whereas you can't do that with a lot of othercompanies. Secondarily, we still have work on the horizon that isoriented toward us being more of a general contractor, and we would hope to getsome of that work as we go forward. We haven't told you that that work doesn'texist. We're just telling you that it's a lesser percentage of the total thanwe thought. As for the market, I don't think it's any different than wetold you before. I think it's something in the order of probably $6 billion to$10 billion for the down platform work, and if you look at some of the majorsand what they are experiencing, I think that's probably a legitimate number. Ithink the standing platforms that we gave you, which were some 1,600 over time,at $3 million a piece in terms of the platforms and the associated wells, whichis a $4.8 billion number is pretty accurate. So, I don't see any change whatsoever in the numbers we gaveyou, and as far as I can see, you've got work out into the future in both thestanding and the down platform arena.
Stu Brightman: Yeah, I think in summary, the size, duration assumptionhasn't changed, and the one major change, as we've said several times, isintegrated versus discreet services. And we have, as Geoff said, with severalof our business units, been very successful in selling those services. And many times we're selling two or three of those servicesonto one project. So, we're not integrating the full work platform as we did inthe past, but we still have multiple services that we've been very wellreceived and we've got a lot of experience gained over the last year-and-a-halfin this area, so we're optimistic we'll continue to get our fair share of that.
Thad Vayda - Stifel Nicolaus: So, I guess in that regard, is there any particular servicethat you are providing that you feel that you have actually done better atvis-à-vis your competitors so far? And I guess also if I could ask, how much business do youactually think that you didn't get that you should have gotten early on whenyou were pursuing the integrated strategy?
Stu Brightman: I think if you look at the individual services, I don't wantto highlight any one and say we're better or different, but the ones that weoffer on the well intervention, the P&A, the heavy lift, the diving, thecutting services. I think we're certainly recognized as having very strongtechnical and operational capabilities and, as we look forward, we'll get ourfair share of that. If you look back historically and say the jobs we shouldhave gotten, and I think there's always, if you look at it we might have doneit a little differently, but we've gotten our fair share. And I think we did a reasonable job over the last six monthsregrouping as some of this changed and attacking the market and putting theresources to work where we could get the returns.
Geoff Hertel: By the way, during the quarter we actually acquired thecutting technologies that we had been utilizing out there. We acquired theentity through an acquisition, so that we can control that a little better thanwe had in the past. I also want to ask Joe to do one thing. I cut him off today.I apologize to him. Some of you had asked historically where we were under ourbank line and what kind of moneys we still had available to us to do variousthings and I think Joe probably can give you that idea in case that would savea number of phone calls in the next couple of hours.
Joe Abel: Okay. At the end of the quarter, we had roughly $125 million,$123 million of credit available under the line of credit. As I mentioned, weincreased debt by just under $3 million in the quarter. We actually didn't borrow during the quarter that $2.9some-odd million is an FX change in the valuation of the debt. We spent roughly$72 million on the acquisition Geoff mentioned and the CapEx, the acquisitionbeing quite small. I don't mean to put it in that order. The cash flow coveredthat acquisition and then we decreased the cash balance somewhat in the quarterand that's how we funded that CapEx and acquisition program. Any otherquestions?
Operator: Thank you. Our next question comes from Victor Marchon withRBC Capital Markets. Please state your question.
Victor Marchon - RBC Capital Markets: Thank you, good morning. First question I had was just onthe production testing side. Just wanted to see if you guys could characterizeactivity levels and pricing onshore U.S.?
Stu Brightman: The activity levels for the production testing on shore U.S.continues to be solid and pricing continues to be firm. As Geoff said, we wereslightly affected slightly by some of the rains in the third quarter. When you take that out, we're still very comfortable withthe activity and price levels.
Victor Marchon - RBC Capital Markets: There's been no degradation on pricing in that businessoutside of anything on the weather side?
Stu Brightman: No, it's firmed up in several areas. We've seen someimprovements. We haven't seen any degradation in that segment.
Joe Abel: Victor, in that segment, we actually had record revenues andearnings.
Victor Marchon - RBC Capital Markets: I guess the same pricing question on the fluid side, youguys talked about shelf, just wondered if you could walk through onshore U.S.as well as the international side, again, on the pricing side.
Stu Brightman: I think on the fluids, we talked about some of the pricingoffshore. Onshore, the pricing has been holding up. It hasn't been increasing. We'restill seeing increasing activity levels as we go into the fourth quarter. We think that business will continue to build ininternational. In the areas that we've operated, we've seen that activity levelreasonable through the third quarter and the pricing continued to beattractive.
Geoff Hertel: Yeah, the big thing on the onshore is not pricing. It wasjust the activity level, which was a function of being able to get to thelocations and internationally the markets are strong. What we're trying to dois take specific contracts, the same thing we've been doing in testing. And what we're indicating to you is that some of thosecontract awards have lagged for whatever reason and they haven't been awarded,or if they have been awarded, they haven't started doing work. So it's not afunction of pricing in either of those.
Victor Marchon - RBC Capital Markets: Great. That's all I had.
Operator: Your next question comes from Michael Furmook with WolverineAsset Management. Please state your question.
Michael Furmook - Wolverine AssetManagement: Hi, thanks for taking the call. I have a question. Is itcorrect to take a look at the, I will call it age of the backlog and suggestthe probability of conversion -- and this is in the decommissioning andabandonment space. The age of the backlog and assume that the probability ofconversion to revenue increases as the age of the backlog grows, because thecustomers are under more pressure by the MMS to complete the decommissioning, oris there a risk that the backlog dissipates because maybe competitors come inand bid for the project or it just gets deferred so long that the probabilityof you being able to convert just diffuses some.
Geoff Hertel: Okay. I think the issue that you're addressing here isrelated to what this market is sized at, really. You had a market that beforethe storms were some $400 million, $500 million in well abandonment in the GulfCoast. And this year's, I would guess between at least $1.5 billionand $2 billion, would be just a guess on my part, which says that obviouslythat backlog is beginning to be worked on fairly aggressively. The reason it didn't go up immediately was not because theMMS didn't want it done and not actually because the old companies didn't wantit done, because there is some risk out there in these platforms if they don'tget them up that you could have pollution events in the future. So, thecompanies aren't dragging their feet in general. The problem was you just didn't have service providers thatwere capable of doing the work, had the right equipment, had the engineeringknow-how to do this, and what's occurred as opposed to a central figure doingthis work is the companies have decided that they wanted to be that generalcontractor in the sense of being able to control these billion dollarliabilities that a number of them have. And they have worked into a position of today being able toallocate this work out. You've brought in additional vessels, you've brought inand expanded diving, you've expanded your abandonment, you've brought in newcutting technology and you finally have available to you in the market serviceproviders that can do the work. And that's really what's driving this, the backlog itself isbeing eaten up, but it's being eaten up at a very reasonable rate. Obviously,if you have a $6 billion to $10 billion market and you're doing an incremental$1.5 billion a year you’ve still have a lot of that to go.
Michael Furmook - Wolverine Asset Management: Okay. Just to expand on that a little bit is, what risks arethere to you that your backlog would not convert to revenue? How binding arethe contracts, etcetera?
Geoff Hertel: Well, first of all, and I'll let Stu address this, toorecognize that a lot of this work is not being done on the basis that anoperator comes to TETRA and says I have seven platforms that are down you'vegot the work. They generally have been coming one at a time because theyare the ones driving this, they have limited people capacity, so they areattacking these one at a time in most instances. So we get the backlog of beingable to do the one platform, but you don't get the backlog of the six of them. So to that extent, that backlog exists generically, but itdoesn't maybe exist for any particular service provider. The other part of thatis that we're not allowed to count backlog for work that we control internally.The term backlog is not allowed to be used for what Maritech has as base load. You'll notice we always use the term ‘base-load’ so part ofour base load of work comes from Maritech, which is something we controlthrough, so up through the ownership of these properties.
Stu Brightman: Yeah, I think it's important to comment that the originalquestion on the predictability, we feel very good at what the visibility ofwhat we have over, over the next quarter plus. But a lot of this stuff we'rechasing week to week. It's changing, and the earlier question of what do we see inthe fourth quarter in some of the jobs going forward that people may not havethought, that's something that's been a positive development over the lastshort period of time. So the risk of the backlog not converging isn't there. It'smore what's the activity level over a several quarter outlook. And we feel goodthat the down structure, individual services that we're pursuing plus thetraditional business, we see reasonable strong activity levels over the timeperiod we're commenting on.
Michael Furmook - Wolverine Asset Management: Thank you.
Operator: Our next question comes from Joe Gibney with Capital OneSouthcoast. Please state your question.
Joe Gibney - Capital One Southcoast: Hi, guys, just a quick follow-up, I was just curious whatthe third quarter production split was, oil versus gas. Thanks.
Geoff Hertel: If you ask, somebody ask another question and I'll look itup and give you that number.
Joe Gibney - Capital One Southcoast: All right, thanks.
Operator: (Operator Instructions)
Geoff Hertel: I'll answer that question while you're polling. It was about62.3% oil because we picked up oil for part of the quarter, and then itflattened back out to about 54% oil and about 46% gas. And then at the end of the quarter, it actually was backabout 55% gas, 45% oil. So it seems materially as we added these variousplatforms on, as it went from the $60 million average to that number that wegave you in October of 71, it got back to a level of about 50/50.
Operator: Mr. Hertel, there are no further questions at this time.
Geoff Hertel: Thank you all for participating, and we will speak with youwhen we come with our 2008 earnings estimate, which we anticipate havingsometime in December or early January at the latest. Thank you.
Operator: Thank you. This concludes today's conference. All partiesmay disconnect now. Thank you.